Leila Dillon: Good afternoon, everyone. We appreciate you joining us for today's call. Joining me here are George Sakellaris, Ameresco's Chairman, President and Chief Executive Officer; Doran Hole, Executive Vice President and Chief Financial Officer; Nicole Bulgarino, Executive Vice President and General Manager, Federal and Utility Solutions; Mike Bakas, Executive Vice President, Renewable Natural Gas; and Mark Chiplock, Senior Vice President and Chief Accounting Officer. Before I turn the call over to George, I would like to make a brief statement regarding forward-looking remarks. Today's earnings materials contain forward-looking statements, including statements regarding our expectations. All forward-looking statements are subject to risks and uncertainties. Please refer to today's earnings materials, the safe harbor language on Slide 2 of our supplemental information, and our SEC filings for a discussion of the major risk factors that could cause our actual results to differ from those in our forward-looking statements. In addition, we use several non-GAAP measures when presenting our financial results. We have included the reconciliations to these measures in our supplemental information. I will now turn the call over to George. George?
George Sakellaris: Thank you, Leila, and good afternoon, everyone. Before I get started on the Q2 results, I would like to address the statement captured in our earnings release. Doran Hole has resigned as Chief Financial Officer to pursue other opportunities. We greatly appreciate Doran's contributions over the last five years and wish him the best in his future endeavors. Doran will continue to serve as Chief Financial Officer until August 30, at which time Mark Chiplock could be promoted to the Chief Financial Officer. Mark has been with Ameresco for over 10 years, and has served in multiple roles with increasing responsibility. I am thrilled to have Mark step into this role as a seasoned Ameresco leader. In addition, Josh Baribeau will assume an expanded role as a Senior Vice President of Finance. I believe our deep bench of seasoned executives will skillfully navigate this transition. And now, on to the results. Our momentum continue into the second quarter, as the Ameresco team again delivered strong revenue growth across all four of our business lines, led by an impressive 45% growth in Projects revenue. At the same time, we continue to build on our excellent long-term visibility, increasing total backlog by 36% year-over-year to a record $4.4 billion, while also bringing a record 155 megawatts of Energy Assets into operation. And we still have 635 megawatts of assets in development. Demand of our renewable energy efficiency and resiliency offerings continues to be very strong as our customers seek clean technology solutions that yield both cost savings and increased reliability. Ameresco's technology-agnostic platform and depth of engineering expertise allows us to stay at the forefront of the energy transition. While our market environment continues to be very strong, we do understand that there is a lot of uncertainty around the upcoming elections. Ameresco was established almost 25 years ago that has not only grown, but thrived under a variety of administrations. The foundation of our business is helping customers, including the government, achieve core savings and improve their energy infrastructure in a capital efficient manner. I have asked two key members of our executive team, Nicole Bulgarino and Mike Bakas, to join us to discuss their business. Nicole?
Nicole Bulgarino: Thank you, George, and good afternoon, everyone. As George just mentioned, we are excited for the outlook of both our federal and utility businesses as we expect continued demand for resilient clean energy projects for many years to come. Over the last two decades, while we have seen policy and messaging shift from one administration to another, the key drivers for our business have remained consistent. Our government agency and military customers continue to be focused on mission-critical projects that deliver secure and resilient power to support their bases, ports, facilities, office buildings, and military housing communities. We are uniquely positioned to help our customers achieve these objectives by reducing load through the latest energy efficiency upgrades and by deploying distributed generation solutions. Across multiple administrations, we have delivered large, highly successful comprehensive energy solutions for the Department of Defense and other government agencies. We have a very strong pipeline of additional projects and assets, integrating domestically-sourced solutions using third-party financing. For our utility business, our customers are focused on providing cost-effective, reliable electricity while also transitioning to clean energy. In addition, they need to increase capacity to address the load growth driven by electrification and data center development. More recently, utility customers have been utilizing battery energy storage solutions for resiliency and grid stability, providing critical power during peak demand periods and allowing the grid to better handle an increased amount of intermittent renewable energy. We are already experiencing rapid growth of our utility business, as seen by the meaningful increase in the number of significant announcements made in just the last few years. The battery storage systems we recently celebrated with the United Power team in Colorado last week are a perfect example of this work, as is the large Kupono solar and battery storage system we brought online in June, which is a great example of an integrated solution serving both our federal and our utility customers at the same time. As you can hear, our strong reputation for technology expertise and execution places us in a prime position to capitalize on the expanding opportunities in both the federal and utility markets. Our projects save money, enhance efficiency, provide clean, resilient, reliable power while creating jobs and supporting local and national policies. This great value proposition is in high demand regardless of changes in Washington. I will now turn the call over to Mike. Mike?
Mike Bakas: Thank you, Nicole. Ameresco has been developing biofuel projects since our founding, and I can honestly say that I have never been as excited as I am now about its prospects. For a number of years, RNG's primary market has been the transportation sector, leveraging the RFS program. But as global markets have continued to focus on sustainability, primarily in the electric side of the carbon footprint equation, we are seeing many industries turning their attention to the thermal side. This is a market with huge potential with natural gas utility consumption over 440 times the volumes used in the transportation sector. And for Ameresco, it is a perfect opportunity as it involves longer-term profitable offtake contracts, while reducing our exposure to RINs. Gas utility RFPs for RNG supply agreements have picked up noticeably, as these parties seek to meet their carbon reduction goals. In the end, RNG is the only immediately available, drop in green substitute for natural gas, requiring no changes to the utilities' existing infrastructure. This demand is not only driven by the utilities themselves, but also by the states and their regulatory bodies as part of programs to reduce overall carbon impact. In light of this, we are very excited to announce that Ameresco has been chosen by a large California-based natural gas utility to supply RNG to help meet its state-mandated locally-sourced renewable content. If final approval is granted by the California Public Utility Commission, this would represent a meaningful portion of our RNG volume. In doing so, this fixed-price contract would also help to balance our portfolio to reduce long-term exposure to RIN volatility, while benefiting from a five-year profitable revenue stream. And this potential contract represents only one of many opportunities across the country to sell our RNG via longer-term offtake agreements to non-transportation customers. In summary, Ameresco's biofuels business is uniquely positioned to capitalize on this expansion of the addressable market with the entrance of very large industries, such as natural gas utilities. Importantly, this asset class also continues to meet our return hurdles without reliance on any IRA-related investment tax credits. We believe our RNG assets will continue to provide significant, stable, profitable growth for years to come. I will now turn the call over to Doran to comment on our financial performance and outlook. Doran?
Doran Hole: Thanks, Mike, and good afternoon, everyone. Before I start, I just want to say a huge thanks to George and the entire Ameresco team for what's been an amazing experience I've had here over the past five years. It is impossible to put into words how much I've learned from this management team and this Board. I want to congratulate Mark and Josh on their new roles. It's been a real pleasure working with both of them. I feel very, very confident in their successful futures here at Ameresco. And I have to say the company is in excellent hands. So with that, now let's jump into the numbers. For additional financial information, please refer to the press release and supplemental slides that were posted to our website after the market closed today. Total revenues in the quarter grew 34% to $438 million, with each of our four business lines experiencing revenue growth. Our Projects business revenue grew 45%, reflecting our focus on execution and conversion of our backlog. Energy Asset revenue grew 6.8%, largely due to the greater number of operating assets compared to last year, improved production, as well as higher RIN prices. We brought a record 155 megawatts of assets into operation in the second quarter, and are well on our way to meeting our anticipated 200 megawatt target for the year. Our large and growing base of operating energy assets now stands at 661 megawatts, which should provide decades of profitable revenue to the company. Our O&M business had a very strong quarter with revenue growing 13.9%, as we continue to win more long term O&M business, while revenue for our other line of business grew 9.5% with strong performance from our consulting businesses. Gross margin of approximately 15% dipped as we incurred additional costs of approximately $6.6 million related to our SCE projects, plus a mix of some other lower-margin projects. That said, our underlying gross margins, as well as the expected margins in our backlog continued to match our historic ranges. In the second quarter, our revenue growth as well as cost savings and operating leverage drove adjusted EBITDA growth of 21% to $45.1 million. As George noted, our business development activity on both the project and asset side was very healthy during the quarter. The company's total project backlog was approximately $4.4 billion, growing 36% year-on-year and 9% sequentially. This growth was led by our contracted backlog which reached $1.6 billion and grew 50% year-on-year and 12% sequentially. Turning to our balance sheet and cash flows. We ended the quarter with approximately $150 million in cash and corporate debt of approximately $273 million. Our debt-to-EBITDA leverage ratio under our senior secured credit facility declined to 2.9 times and remains below the covenant level of 3.5 times. Our energy asset debt advance rate remained at a conservative 73%. Importantly, we believe our access to Energy Asset capital is excellent with many financing options available as demonstrated by us having secured approximately $170 million in new project financing commitments in the quarter. We also believe our Energy Assets remain highly attractive to many financing parties interested in teaming with Ameresco, given our proven capabilities. And on the corporate side, at the end of the quarter, we were pleased to have successfully raised $100 million in subordinated debt from Nuveen Energy Infrastructure Credit. Our cash flow continued to be strong with positive adjusted cash flow from operations of approximately $154 million during the quarter. Our eight-quarter rolling average, which best represents our implementation cycle, reached almost $45.6 million. In our supplemental slides, we highlight the increased momentum we have seen in the rolling cash flows, and we expect both cash flow metrics to continue to improve, especially as we bill and collect on the SoCal Ed battery projects. Speaking of SoCal Ed, our performance testing has been approved and we are working together on the final checklist for substantial completion for two of the three projects. The third project, which was more significantly impacted by the 2023 rainfall, is expected to reach substantial completion in September of this year. Now let me spend a few minutes on our new 2024 guidance. We're increasing our revenue range based on the solid financial performance for the first half of the year and our strong visibility for the remainder of the year. Our new gross margin range reflects the expected full year impact of the cost budget revisions on the SCE projects of approximately $10 million. Our new guidance range would yield revenue and adjusted EBITDA growth of 27% and 35%, respectively, at the midpoints. You can find more details on the revised 2024 guidance in our press release. Now, I'd like to turn the call back over to George for closing comments.
George Sakellaris: Thank you, Doran. Ameresco thrives in an environment where customers seek clean energy solutions that result in cost savings and greater resiliency. We believe this environment and the demand for these solutions will continue regardless of the political environment in Washington. We are extremely well positioned with over $8.3 billion in future revenue visibility, and we are laser-focused on executing our tremendous backlog and cash flow generation. In closing, I would like to once again thank our employees, customers, and stockholders for their continued support. Operator, we would like to open the call to questions now.
Operator: Thank you. [Operator Instructions] And our first question is going to come from the line of Noah Kaye with Oppenheimer & Co. Your line is open. Please go ahead.
Noah Kaye: Good afternoon. Thanks for taking the questions. First one is around cash generation. The trend line here, especially in the last few quarters around the improving cash generation, is really encouraging. Obviously, in the past, there were some conversion headwinds related to specific projects, but I was hoping you could maybe take us a little bit deeper into what you seem to drive some of the improvement in cash generation and your visibility into that continuing potentially additional levers. You not necessarily just have to talk on SoCal Edison, but in the business more broadly.
George Sakellaris: Yeah, I will let Mark get into this, but go ahead, Mark.
Mark Chiplock: Yeah. So, I think what we're seeing, so if you look in the quarter, a lot of it's timing in Q2, but some of the things that I found be encouraging, that I think will help us to continue to show the improved cash flow is that a lot of billing milestones were front-end loading now in some of our contracts. So, we're seeing those come in. You see it on the Federal ESPC when you net liability and receivable, and you also see it on our deferred revenue line. We also saw the proceeds from the conversion or the transfer of ITC in the quarter as well. So, I think those are some of the, I think, the positives that are helping that trend. I think, Noah, keep in mind the quarterly stuff is always going to be lumpy, which is why we started to roll out this new metric. But yeah, we're encouraged by some of the things that we're seeing and the changes we're making on the contractual side that are keeping those billing milestones a little bit more front-end loaded to keep the projects cash flow positive throughout.
George Sakellaris: Yeah. And if I may add a little bit there, Noah, focusing on a particular issue, you get -- generates pretty good results, like the way sending out the bills on time, following up in the collection, and so on. And it just helped a lot because the accounts receivable, it was substantial. And then -- back then, when the interest rates, they weren't that high, probably we weren't paying as much attention as we should be paying. And the fact that the last, I would say now, nine months, 10 months, we've been focusing a lot, we have seen all those metrics come down and the cash generated going up, and we will continue to focus on that. I still think there is room for improvement in that area.
Noah Kaye: Thanks. Second question on the RNG business. Mike called out the contract with a large California natural gas utility supply RNG. And I think, Mike, you did a good job of talking on these points of why that kind of predictability and visibility is helpful. So, I would just like to understand, what is the opportunity and the appetite of the company to continue to increase sort of these fixed contracts as a portion of the RNG exposure? Is there any kind of target we should think about that would be optimal for a portfolio? And then, how does this potentially contribute to more favorable financing on the development of the assets?
George Sakellaris: Very, very good question. I will ask Mike to address it, and then I will come back at the end what percentage we might get into long-term contracts. Go ahead, Mike.
Mike Bakas: I think generally we've said to the Street in the past that we try to fix our pricing, 50% of volume on our new projects. This is a unique contract vehicle and that it's leaving the transportation sector and going to a voluntary market. Obviously, great credit with the utility and the terms will, I think, without a doubt, help on the financing of these projects. And I think we're going to start seeing more and more of this, of our gas going to the non-transportation sector as that market continues to expand.
George Sakellaris: And the financing, Doran, do you want to add something?
Doran Hole: No, not surprisingly, when you get fixed-price contracts, the banks like the stability of those cash flows. And the fact that we're actually now striking these projects, even though this first one might be five years, as more and more of those cash flows get fixed, we would expect that we'll get better advance rates and obviously we'll be pushing for tighter spreads in the future, but it's definitely one of those characteristics.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Stephen Gengaro with Stifel. Your line is open. Please go ahead.
Stephen Gengaro: Thanks. Good afternoon, everybody.
George Sakellaris: Hi, Steve.
Stephen Gengaro: George, I thought you might have been about to add something on the last question before I asked mine.
George Sakellaris: Nope.
Stephen Gengaro: Okay. Sorry. So, I think two things for me. And one, I'll start with, and I'm not sure how much you want to get into this, but when you look at your Energy Assets backlog and you look at your Projects backlog and SCE rolling off, at a high level, what should we think about as the big positives and negatives as we go into 2025?
George Sakellaris: I don't know if I -- the big positives and negatives. I mean, the big part of this is the fact that we have a great, great backlog, and executing on that backlog. And the other good thing that I wanted to point out and we're doing the analysis earlier on that backlog, the actual gross profit margin has -- it's been going up every quarter since we started focusing and screening on what kind of project we'll get, trying to push the margins up. So that's a great, great positive. The backlog that we have on the assets, whether it's the battery storage or the solar plants or the renewable assets that the gas plants that they would be coming up, it's -- they're great, great positives. The only negative, it's elections, they might have an impact. But on the other hand, and that's why I wanted Nicole and Mike to be here today to explain that the federal business, it has done excellent under any administration. And on the renewable gas now that the utilities are getting to be more and more in the states and getting -- requiring the utilities to get more renewable natural gas as part of the percentage that they provide their customers, it's very good. So, with the Southern California rolling off, I think the risks are -- the negatives are very much lower and the risks and the potential, the good [indiscernible] much higher.
Stephen Gengaro: Great. Thanks, George. And maybe just as a follow on to that, when you look at the Projects portfolio, you mentioned this a little bit, but the embedded margins, assuming strong execution of the backlog, you should have margin improvement in projects over the next year one to two years. Is that a fair assessment?
George Sakellaris: That is -- yes, that is a fair statement. That's why -- it can become a focus. And what I have found out, especially as the company grows and which have grown in the last five years, and then with the COVID situation there bringing some difficulties, I think the team here and there, they took some projects that did not have the best margins, so they didn't have all the risk mitigated as they should have. But refocusing the organization, margins and minimize risks associated with those margins is key and it's bearing fruit so far. So, a lot of positive for next year.
Stephen Gengaro: Thanks. And just one other quick one. You've done this a little bit in the past. Is there anything what should we consider as we think about seasonality in the back half of the year? You kind of guided for 2024. Just the -- how should we think about how that unfolds in the third and fourth quarters? Any color around that?
George Sakellaris: Yes. Good question. And I will let Mark follow-up, because he's been dreaming about all the numbers.
Mark Chiplock: Yeah. I think maybe just briefly, when it comes to shaping unlike last year, I think we would expect Q3 and Q4 to be fairly similar. Maybe a small bump in Q3 related to normal seasonality, but should be -- they should be a little bit more sync Q3 and Q4 as opposed to last year.
Stephen Gengaro: Great. Thank you, Mark.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of George Gianarikas with Canaccord Genuity. Your line is open. Please go ahead.
George Gianarikas: Hi, good afternoon, everyone. Thank you for taking my questions.
George Sakellaris: Hi.
George Gianarikas: I'd just like to understand a little bit about the revised revenue and EBITDA guidance just to make sure we're all clear. So, there's a $5 million reduction at the midpoint based on increased costs from SCE. Just to be clear, if you had -- if you didn't have those costs, would you have raised by $5 million? Are there -- is there anything else that's pulling down the EBITDA guidance for 2024? Is it just the SCE costs that you alluded to?
George Sakellaris: Yes. Basically, we try to reflect that the impact that the Southern California projects have, and even though we had some other minor other projects that adversely impacted, however -- and I'll let Mark explain a little bit more, but basically that was the impact because we had thought that the projects we have been done after the last quarter, so...
Mark Chiplock: Yeah, I think -- right, I think it was -- the modifications we are really focused on, at least the EBITDA were on the assumed cost for SCE. We're certainly having stronger revenue performance, but obviously, you've seen a little bit lower margin profile, so we took that into account. But I think based on the first half performance and what visibility we have, we made those changes and we feel pretty good about it.
George Gianarikas: Okay. And then maybe just a question on the backlog, the big growth in backlog. I'm curious as to whether you can give us a little bit more detail as to what's going on there. Where do you see significant growth? And is anything related to data center opportunities? Thank you.
George Sakellaris: Yeah. And actually, it's across the board. We see growth across the board. But since Nicole is here and she is the project queen, I will let her talk a little bit.
Nicole Bulgarino: Sure. I think a large percentage of our growth in backlog is coming from the market drivers that we just described earlier a few minutes ago, really related to the battery energy storage. So, we're seeing those in our Projects business, on a lot of our federal and utility markets. So that's probably the largest portion of that. And then certainly not captured in the pipeline right now, but there is a lot of work that we're doing to capitalize on batteries for the data centers and energy. It's a little too early right now for that to be in the awarded pipeline.
George Gianarikas: Great. Thank you.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Kashy Harrison with Piper Sandler. Your line is open. Please go ahead.
Kashy Harrison: Good afternoon. Thanks for taking the questions, and Doran, best of luck with the future endeavors.
Doran Hole: Thanks, Kashy.
Kashy Harrison: So, -- yeah. So, first question is for Mike. Sorry if I missed this, but did you quantify the size of this RNG project you're working on with the California utilities, a megawatt or EBITDA number would be great. Just trying to think of the scale of this project relative to the portfolio.
Mike Bakas: Yeah, there's two projects, and so it's about 22 megawatts, 23 megawatts between the two. One comes online, actually, this quarter coming up, and the other one will come online in early 2026. The agreement with the utility doesn't begin actually effective until January 1, 2026. It's a material portion of our portfolio. If those two projects were online today, it would represent probably close to 40% of our supply, and in 2026, we're forecasting it to be around 12%, 13% of our supply.
Kashy Harrison: That's helpful. I appreciate the added color. And then, my next question is just a follow-up on the budget revisions to SoCal Ed. I think you flagged $10 million of total revisions in EBITDA. Can you just help us think through the risk of potential further budget revisions? For example, if the project is delayed another quarter, what does that do to that forecast? And then, are these overruns separate from the liquidated damages, or are these tied to the liquidated damages? Any color on that would be appreciated. Thank you.
George Sakellaris: Go ahead, Doran.
Doran Hole: Yeah, Kashy, I'll start and let other guys chime in. So, the $10 million across the entire year is the expectation. So, you've seen some mention of adjustments already in Q1, we talked about $6.6 million in Q2, primarily related to insurance premiums as the projects continue to get delayed. I don't know that we see a huge risk that number going up from there. I think we've been -- it's a pretty conservative estimate of what we might face as we bring those to substantial completion. That is completely separate from anything related to LDs.
Operator: Thank you. And one moment as we move on to our next question. And our next question comes from the line of Eric Stine with Craig-Hallum Capital Group. Your line is open. Please go ahead.
Eric Stine: Hey, everyone. So, just curious, on the Project business. You mentioned that you had some larger projects in this quarter, and that's why the margin came in where it was. But George, you also talked about some projects that were priced maybe in the past that were rolling through and if that that impacted margin. Just curious, I mean, is this trend to larger projects, is that something that you expect to sustain, or is this more about, hey, you just had a mix of that in the quarter, plus some of those older contracts, and that's what impacted the margin in the quarter?
George Sakellaris: Primarily, we have some large portion of the project executed for the quarter coming from some of the European EPC contracts that we just signed over there. And then, when you book the revenue, because we consult on the top-line, and then the margin will account only half of the actual margin, and it impacted more than normally. But the overall, though, what we have on the backlog, the projects, that's what makes me feel very good, it's going up, but any given quarter, the mixture might change, and that adversely impacts your margin. Do you want to add anything to that, Mike?
Mike Bakas: Yeah, I think it's just a mix.
Eric Stine: Okay. No, that's great. And then maybe second one for me, just more high level. Yeah, I know the SCE, the contracts there, a lot of that is out of your control. It's weather-related, et cetera, but as you sign more of these energy storage awards, I'm just curious, some of the lessons learned, how you're structuring contracts differently, anything that you might be changing based on what's happened here for SoCal Edison?
George Sakellaris: We have become the professors of the industry. We learned a lot. And every contract that we sign right now has brought different -- great, great protections for us. But you can see all the backlog, all the way that we have and the execution that we have been able to achieve past Southern Cal. For example, the United Power, we just finished it, and we broke the record within one year from signing the contract to actually getting six out of the eight projects already up and running. And the other two, they are fully contracted. They have been commissioned right now. Then, you go down to Hawaii, the Kupono projects, and even with labor difficult there, it's up and running again, solar, as well as 44 megawatts of battery storage. And the one that we recently announced in UK, it's an excellent, excellent project, and we have minimized just about all the risks associated with it. And...
Mark Chiplock: Yeah. And the only thing I'll add on the one in the UK, it's a really good example of where we're focusing on improving those contracts by front-loading more of the milestones. And so that was -- you saw a big part of that come through our deferred revenue line on the cash flow in Q2. So, we're making those changes to improve cash flow and liquidity.
Eric Stine: Got it. Okay. Thank you.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Joseph Osha with Guggenheim. Your line is open. Please go ahead. Sir, your line may be muted. All right. We'll move on to our next question. And our next question is going to come from the line of Craig Irwin with Roth KM -- or MKM. Your line is open. Please go ahead.
Craig Irwin: Good evening. Thanks for taking my questions. So, George, I wanted to ask if there's some metrics maybe you can share with us around organic growth, either in revenue or contracted backlog away from the energy storage business, the legacy projects business of the company before you started moving into energy storage. Maybe if you have a storage contribution to your contracted backlog that could help with visibility, or if you could help us with what the storage contribution to revenue growth is year-over-year in the quarter?
George Sakellaris: I will give it on the high level. The battery storage projects right now, they represent about almost 10% of our $4.4 billion. Actually, they are between $350 million to $400 million, the battery storage. And the growth on the others, it's the federal government, it's across the board. It's the traditional core of business and that's why you're seeing the margin slowly ticking up. So -- and that's why I made the point to clarify that a little bit because we're looking at the federal sector, even though we haven't like usually the revenues, one-third it comes from the federal government. And if you do the arithmetic, about one-third of the backlog right now is the federal government project. So, it's -- at any given time, especially some of the EPC projects, that they come in fast, by the way from the RFP, and then you start executing, and then, especially if you front load them, the execution behind the material and so on, so they impact the margin -- they might hit the margin for that particular quarter, but they are contributing great leverage on the profitability -- the gross profit line.
Craig Irwin: Excellent. That's strong progress. So, my second question I wanted to ask is about the assets business, right? So, you seem to be outperforming there some nice growth year-over-year in EBITDA. Many of the other companies in the sector, both private and public, are having issues, let's just say politely, even a couple of the very large portfolios of projects that were slated to get built, the customers are apparently taking them away from the partners that they'd identified. Can you maybe talk to us a little bit about your philosophy about how you structure these projects that allows you to generate positive returns in difficult periods? And can you maybe talk about whether or not you'd be interested in these portfolios?
George Sakellaris: Yeah, it's basically -- it starts from the beginning, the assets that we are developing and we try to de-risk them, and the ones that we keep, we're looking for higher returns than some other people would look at. And that's why we have said in the past -- because we have a very, very good development team. And just think about it that we are across the country and that basically gets lots of projects. So, the ones that we will keep, we do it for all of them, but the ones specially we will keep, not only we de-risk them, but looking for higher returns that will exceed our cost of capital. And that's why raising this Nuveen capital, even though it was a little bit on the higher cost, on interest, we feel very confident that we can invest that at considerably higher return than what we are paying interest, we paying them, in addition to it, it's a great company, and they're going to be good partners for another project. So, I think it's doing our job upfront. And I've been in this business for a long time, and we de-risk, and then with Doran's help and Josh help, we de-risk these projects a lot. And that's why the investment committee that we have does all the due diligence and playing all kinds of what if games, what if this happened? What if this happened? And then, at the end of the day, we say, okay, we will keep that project, or that project is lined up for sale. And that's why we developed a business. I would say that part of our assets in our portfolio, we will not -- that we develop it, before we put them on our balance sheet, we will sell them at a very good profit because the market is so liquid out there.
Mark Chiplock: Hey, Craig, I'll just add. That market for our develop and sell assets is exactly the reason why we're probably not going after any portfolios that are out there as a buyer because we're taking advantage of the market that's out there at a cost of capital return hurdles that are lower than ours to sell the assets that we're developing. And the development team George mentioned is so strong, it's bringing so many solid quality megawatts into that asset development metric that we've got the liberty to kind of choose the ones we want to keep on our balance sheet. And other folks in the market also don't have as diversified of a pool of asset types. We've got one of the best, or arguably the best development group for RNG on the street, and that's not going to fall into the competition that you might see for some of the others that are more into the solar and battery side.
Craig Irwin: Understood. Thank you for that color. And I should say, Doran, I hope you're going somewhere where we continue to work together going forward, and Mark, congratulations on the promotion.
Doran Hole: Thanks, Craig.
George Sakellaris: Thank you, Craig.
Operator: Thank you. And one moment as we move on to our next question. Our next question is going to come from the line of Tim Mulrooney with William Blair. Your line is open. Please go ahead.
Tim Mulrooney: Yeah, thanks for taking my questions. I wanted to ask about your gross margin guide to start, which I think was about 18% at the midpoint previously, and it's now more in the low 16% range. Can you just help bridge the gap for me [Technical Difficulty] pieces that led you to adjust your outlook? I know there was a $10 million SoCal impact. I think that probably only accounts for 50 bps to 60 bps if I'm doing my math, right. So, just curious what the other moving pieces are.
George Sakellaris: Go ahead, Mark.
Mark Chiplock: Remember in Q1, we also took a handful of hits to the gross margin, just with some legacy projects and some things that were a little bit unexpected, I think, we were able to kind of offset that overall by the performance on the revenue side. But, yeah, I think Q1 and Q2 combined, I think is really what's driving the margins down. I think that we talked about the SoCal Ed impact. I think it's important to come back and really refocus on what we're seeing in operating leverage, which is actually up. So, even though we're seeing gross margins down, we're still continuing to grow gross profit faster than OpEx. So, we're seeing improvement in our operating leverage. But, yeah, I think, Tim, that's really the bridge on what you're seeing in margins is there were also some hits that we took on certain projects in Q1 as well.
Tim Mulrooney: Okay, that's helpful and well-understood. Thank you. Secondly, backlog on your Projects business is up a lot year-over-year, I think maybe 36% or something like that, but I'm not sure if you have this number handy. I'm curious how much of that's from switching assets in development over the project side versus completely new wins, like how much is each of those buckets is driving that increase?
George Sakellaris: It's all new wins.
Nicole Bulgarino: Yes.
George Sakellaris: It's all new wins. Nicole, do you want to add something?
Nicole Bulgarino: Yeah. Significant wins across multiple business lines from the federal government to utilities to our UK group. So, it's several -- nothing to do with converting assets in the last few quarters.
George Sakellaris: No.
Tim Mulrooney: Okay. Thank you. Go ahead, George.
George Sakellaris: Well, basically what I'm going to say, the assets that they are in development, we don't -- they are in development right now. If we convert them to sales, you will see them in that particular quarter. But up to date, they have no impact on the backlog -- Projects backlog that we reported.
Tim Mulrooney: Okay. Got it. And if you don't mind, I'd sneak one more in, taking advantage of having Nicole on the call today. Nicole, specifically on your solar projects, could you just talk about any differences that you're seeing in projects moving forward between standalone solar versus projects that have solar plus energy storage? Is there any noticeable difference in which types of projects are having an easier time moving forward in this environment? Thank you.
Nicole Bulgarino: Well, I think in all of them -- in almost all of them, you're seeing solar with battery storage, and that's really related to peak demand, getting the most maximized PPA price or savings. So -- and it's just a requirement. I mean, you're using these for like -- our federal government is using these for resiliency. So, they are going to need the battery energy systems with them coupled with the PV system to be able to meet that requirement, too. It's not just clean energy, but it's resilient energy as well.
Tim Mulrooney: Understood. Thank you. And Doran, we'll miss you around here, man.
Operator: Thank you. One moment as we move on to our next question. And our next question is going to come from the line of William Grippin with UBS. Your line is open. Please go ahead.
William Grippin: Great. Thanks for the time. My first question, just wondering if you could update us on the RNG projects you're expecting to commission in the second half of this year? And how those are progressing? And I think previously you provided a rule of thumb on RNG revenue contribution of 2.3 million per megawatt equivalent. Could you talk about how the potential utility deal would impact that figure, if at all?
George Sakellaris: Yeah, Mike, go ahead on the Projects.
Mike Bakas: Yeah. So, we have a project that's about 11.7 megawatts that's being commissioned right now. It's going through final product gas testing, you get approved, you go into the pipe. So, I would expect sometime this month, early September, that will be fully commercial. And then, we have another project that's 15.6 megawatts that should go commercial sometime in October of this year.
George Sakellaris: And then, as far as the metrics, what we have said before that for the RNG plants, on the revenue side, you see about $1.5 million to $3 million top-line, and then with RIN prices, where they are now, $750,000 to $1.5 million on the EBITDA contribution per megawatt.
Mike Bakas: We haven't updated for the -- you asked about the utility agreements. Those numbers are reflective of the utility agreements. The offtake prices are less than the current spot market in the RFS program, which is trading around $3.40 right now, RIN, but materially better than what we've seen in terms of long-term agreements in the RFS space.
William Grippin: Got it. That's helpful. Could you refresh our memory as to what the underlying assumption was as far as RIN prices for the prior sort of revenue sensitivity?
Doran Hole: I don't think we've provided that before, Will. And I think that broadly speaking, obviously there are puts and takes about the way that this will change the hedging for RINs, et cetera, but I still think those ranges are still good.
William Grippin: Got it. And just one last one for me. I think last quarter you had talked about guidance, assuming some continued delays in the assets business. It appears you're well on track at this point to hit the 200-megawatt target. So, in light of the revised guidance, I mean, where should we kind of think about results falling, assuming you get the 200 megawatts fully online on the Envision timelines?
Doran Hole: Yeah. Guidance just reflects that, right?
George Sakellaris: Yeah. We feel pretty good about the 200 megawatt that we've given before. So far, we have 168 megawatt, and then we have a few coming up very, very shortly. So, we feel good about the 200 megawatt.
William Grippin: All right. Thanks very much. That's all for me.
Operator: Thank you. And one moment as we move on to our next question. And our next question will come from the line of Pavel Molchanov with Raymond James. Your line is open. Please go ahead.
Pavel Molchanov: Yeah, thanks for taking the question. You offered some commentary earlier in the call about the upcoming US election. Of course, Britain had an election barely a month ago, and you talked about some of the battery projects, for example, that you're doing there. So, can we get an update on your UK opportunity, including maybe what's going on in Bristol?
George Sakellaris: Yeah, I mean, with the new government over there, especially of the money that they're planning to allocate for clean projects, it's going to help us a lot. It's going to take some time, of course, but it's going to take time to evolve, but in the long term, though, it's going to be very, very, very helpful. And then, on Bristol City, we continue to make good progress. We made some organizational changes over there, hiring a new person to run that particular project, and they made some changes from their side. And I think you will see that project going forward moving at a faster pace. And the overall, the environment in Europe is very, very good. And that's why you see great growth in the European market for us.
Mike Bakas: I mean, having talked to the management team over there, the litany of targeted processes and changes that the new labor government are going to go through, I think, as George said, it's going to take a little bit of time, but there's a lot there and there's a lot of momentum. It's a great backdrop for the company. And especially because we -- over in the UK, our business looks a lot like what it looks like here in the United States, where across multitude of technologies, energy efficiency, solar battery, EV chargers, we're kind of touching it all. And so, these incentives are going to come bring some strength. Feeling very confident about that.
Pavel Molchanov: Okay. Let me ask a quick one about the -- about Washington. Why do you think the treasury still has not unveiled the Section 45Z numbers for any of the biofuels, including RNG?
George Sakellaris: Mike, you want to tackle that one?
Mike Bakas: If I had any answer for that -- a lot of phone calls. I mean, I'll spin it a little differently. I mean, we're seeing movement. We submitted all our applications on time and we actually got notified the EPA is going through and reviewing our application as we speak. So, we are seeing progress, at least on the administrative side. I can't tell you why Treasury hasn't already rolled something out on not just 45Z, but a number of the other tax credits. What we keep being told is that it should be sometime in this fall that we would get some guidance, but we haven't received anything.
Pavel Molchanov: All right. Thanks very much.
Operator: Thank you. And one moment as we move on to our next question. And our next question is going to come from the line of Ben Kallo with Baird. Your line is open. Please go ahead.
Ben Kallo: Hey, thank you so much, and thank you, Doran. My question is on the asset business. In this year, I think you had some pull-ins for the 200 megawatts. Is that a big number compared to what we should expect for next year? Could you just give us some kind of color about how we should think about the average number of megawatts that comes on over a year? If it's better to look at a two-year timeframe, maybe that's some color you could give? Thank you.
George Sakellaris: No, we're not pulling in from next year to this year, not at all. Actually, some of these projects that were delayed, that we didn't bring them on last year because of interconnection and so on. And we have said that we want to target between 80 megawatts to 100 megawatts, 120 megawatts per year, but like anything else, the business is lumpy, and this year we were able to bring 200 megawatts. And next year looks pretty good as well. So, it's not pulling any assets from last year to this year. It's basically a couple of assets that were delayed from the year before to this year.
Ben Kallo: Understood. And then just when we think about tariffs on Chinese sales starting up, what is your approach? And have you lined up domestic suppliers? And how do you think that impacts the overall storage market just since you're getting a higher mix towards that business? Thank you.
George Sakellaris: I think Doran can take that because he's been talking tariffs all the time.
Doran Hole: Yeah, I think the -- I don't know that we're on our back foot here necessarily. I think that -- keep in mind our purchases, the difficulties of imports, we're not doing like large multi-gigawatt installations. So, when you're doing DG, the per-watt cost is pretty high. The individual components are less of an impact, and so tariff. Nicole, I don't know...
Nicole Bulgarino: Yeah, I just will add. A lot of our projects have been or for federal government where we've been using domestic solutions for quite some time. And I think we'll continue to see that trend for utilities as well, wanting to support the domestic supply chain here as well as certainly for the IRA business as well.
George Sakellaris: So, when we're doing our pricing, we use primarily domestic [panels] (ph) and domestic pricing, then that eliminates some of that, particularly. But what has happened though, as soon as they talk about tariffs, the prices go up, domestic as well the other ones.
Ben Kallo: Well, thank you, and congratulations, Mark.
George Sakellaris: Thanks.
Mark Chiplock: Thank you.
Operator: Thank you. One moment as we move on to our next question. Our next question is going to come from the line of Julien Dumoulin-Smith with Jefferies. Your line is open. Please go ahead.
Julien Dumoulin-Smith: Hey, good afternoon, team. Thank you very much, Doran. It's been a real pleasure. I wish you all the best, sir. So maybe with that, just if I can come back to the RNG numbers you guys were talking about on the call here. I think -- if I heard this right, you talked about it representing -- this arrangement representing 40% of the supply today, but only 12% to 13% of the supply pro forma for 2026, if I heard that right? I mean, that's a pretty big implied step up in overall volumes. I just want to make sure I understand how you think about the scaling up of the volumes in megawatt terms, or what have you, from today through the '26 at the outset. And I got a quick follow-up.
Mike Bakas: Hey, Julien, what I said was that if those plants were online today, they would represent 40% of our total supply in 2024. They're not online today. When they come online, we start supplying the gas to the utility in 2026, will have brought a number of plants online since then, and it will represent about 12% of our forecasted volume in 2026, which means we're growing the business.
Julien Dumoulin-Smith: Yeah. It's kind of like a tripling. That's kind of what I was trying to get at. It's sort of a subtle affirmation of the overall trajectory right? Kind of a -- and if you think about what that implies if you've got 50 megawatts today, doesn't that suggest you got, like, kind of ballpark,150 pro forma for, call it, year-end '26 when you get the stuff online?
Mike Bakas: Being a human calculator, I won't confirm or deny what you said. I think what I would tell you is that our projects are sizable, right? These aren't dairy projects, they're primarily landfill gas. And many of the projects that are in development or construction now are sizable. And I'm going to add a lot to our portfolio over the next couple of two years.
Julien Dumoulin-Smith: Right. But there's no reason -- I mean, look, the landfill gas, what you've done before as well, you continue to scale at that roughly dollar, $1 million per megawatts adding 100 megawatts here seems like a pretty significant contributor. Just, again, look, something novel per se, but you've implicitly reaffirmed that with this latest contract.
Mike Bakas: I'm not sure I understood what you just asked. Did you, George?
George Sakellaris: I mean, the plan, Julien, is that we had two to three plants a year and what happens a couple of those plants that we had, they're good size, and that's why the numbers get a little bit...
Julien Dumoulin-Smith: Yeah, I think we're all saying the same thing. It's very sizable, $100 million EBITDA or something like that.
George Sakellaris: Yeah.
Julien Dumoulin-Smith: Indeed. Excellent. And just to clarify the strategy on RNG, just because obviously you've got this, call it, a medium-term contract, is there any thought to change the tenor of the contracts that you have in RNG? I mean, obviously, there's some political risk potentially in the RNG universe here. How do you think about your decision for you to take market versus start to contract up on a more term basis here?
Mike Bakas: We've actually evaluated term for many years, our first time. We've seen this market evolve. We pick and choose our term based on optimal value, look at it. And I think we'll continue doing that. We've had opportunities to do much longer term than five, but the discount's too steep. It doesn't make a lot of sense, but that market's evolving. And remember, when we first started doing RNG, we were doing these one, two-year deals, then it got up to three and then five. I think that will continue to evolve over time as the addressable market expands and demand continues to grow for the product.
Operator: Thank you. And we're going to move on to our last question. And our last question is going to come from the line of Ryan Pfingst with B. Riley. Your line is open. Please go ahead.
Ryan Pfingst: Yeah. Hey, guys, thanks for sneaking me in. Maybe I'll just ask one more on RNG for Michael. How much is a potential e-RIN pathway affecting your strategy here, if at all? And do you have any high-level thoughts on if and when that might come to pass?
Mike Bakas: Well, as you're probably aware, we have a fairly sizable electric portfolio and that we continue to operate that would benefit from that pathway. We maintain an incredible depth of bench that allows us to pivot any time if we choose to go to electric versus RNG. We have a very dynamic of that because, as you know, with this group develops power plants for others as well. Look, the balls in motion. It's going to be interesting to see how this moves along if we have a current administration, you get golly optimistic, we'll see that pathway open up. But candidly, with Musk's push with the other, the Republican side, he would benefit greatly with e-RINs. So, we don't count on it. It's never been in any of our forecasts. We don't budget for it. It's upside.
Operator: Thank you. That does conclude today's question-and-answer session. Ladies and gentlemen, this also will conclude today's conference call. Thank you for participating, and you may disconnect. Everyone, have a great day.